Operator: Good morning, and welcome to the Norwegian Cruise Line Holdings Fourth Quarter and Full Year 2020 Earnings Conference Call. My name is Josh, and I will be your operator. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions for the session will follow at that time.  As a reminder to all participants, this conference call is being recorded.
Andrea DeMarco: Thank you, Josh, and good morning, everyone. Thank you for joining us for our fourth quarter and full year 2020 earnings call. I’m joined today by Frank Del Rio, President and Chief Executive Officer of Norwegian Cruise Line Holdings; and Mark Kempa, Executive Vice President and Chief Financial Officer. Frank will begin the call with opening commentary, after which Mark will follow to discuss results for the quarter before handing the call back to Frank for closing remarks. We will then open the call for your questions. As a reminder, this conference call is being simultaneously webcast on the company’s Investor Relations website at www.nclhltdinvestor.com. We will also make references a slide presentation during this call, which may also be found on our Investor Relations website. Both the conference call and presentation will be available for replay for 30 days following today’s call. Before we discuss our results, I’d like to cover just a few items. Our press release with our fourth quarter and full year 2020 results was issued this morning and is available on our Investor Relations website. This call includes forward-looking statements that involve risks and uncertainties that could cause our actual results to differ materially from such statements. These statements should be considered in conjunction with the cautionary statements contained in our earnings release. Our comments may also reference non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and our presentation. With that, I’d like to turn the call over to Frank Del Rio. Frank?
Frank Del Rio: Thank you, Andrea, and good morning. I hope that everyone joining us today as well as your loved ones remained healthy and safe. Similar to our last few earnings call, we will focus our commentary today on the progress of our response to the global COVID-19 pandemic. The overall booking and pricing environment, which has shown particular strength in recent weeks and our view of what the month that had may look like as we prepare for an eventual return to service. To say that 2020 what’s challenging would be an incredible understatement. As it was without a doubt, the toughest and most difficult year in our company’s 50 plus year history. After a record breaking 2019, the foundation was well set for 2020 to be even a more successful year. That upward trajectory, however quickly changed last March and 2020 instead became a year of great hardship and disappointment and one in which we had to rely on our nimbleness and our ability to adapt by taking swift proactive and decisive actions to overcome the multifaceted challenges presented by the pandemic.
Mark Kempa: Thank you, Frank. My remarks today will focus on the continued execution of our COVID-19 action plan, as well as our roadmap to relaunch. The global pandemic continues to evolve and we continue to focus on what we can control, and we are prepared to adapt and modify our strategy as needed. Slide 7, illustrates three focus areas of our action plan and the additional proactive measures taken since the beginning of the fourth quarter. First, we have reduced operating expenses and capital expenditures, three number of initiatives, including the further reduction or deferral of near-term marketing expenses, reduction of non-essential capital expenditures, extended salary reductions and furloughs for shoreside team members. In fact, we reduced capital expenditures by approximately 60% for each of the years 2020 and 2021. In addition, we finalize the deferral of €220 million of new building related shipyard payments through the end of the first quarter 2022. Second, we have also made significant progress on improving our debt maturity profile in order to provide additional near-term financial flexibility through the following actions. We amended our pride of America, Norwegian Jewel and senior secured credit facilities to suspend testing of certain covenants. This covenant relief extends through maturity for the pride of America and Jewel facilities and through year end 2022 for the senior secured credit facility. We were also able to defer $70 million of amortization payments due prior to June 30, 2022 for the senior secured credit facility. Second, we secured deferrals for approximately $680 million of our export credit agency backed amortization payments, representing 100% of our ECA payments originally due through the first quarter of 2022. We also received covenant waivers through the end of the fourth quarter of 2022 on our ECA facilities. We have tremendous support behind us from our strong longstanding relationships with our export credit agencies  and Hermes. Our ECA and commercial lenders, as well as the shipyard. Their assistance is playing a significant role in our ability to weather this pandemic and we can’t thank them enough for their continued and ongoing partnership during these unprecedented times. The final focus area of our action plan was securing additional capital. In the fourth quarter, we executed two highly successful transactions. In November, we raised $824 million of net proceeds through an equity offering of 40 million ordinary shares. And in December, we issued $850 million of 5.875% senior unsecured notes due 2026 in an oversubscribed offering. To-date, we’ve accessed the capital markets five times over a nine-month period. As a result, since the onset of the pandemic, we raised incremental cash of nearly $6.5 billion, including the drawdown of the $875 million revolver early last year. This tremendous accomplishment would not have been possible without the hard work of our finance, treasury, legal and accounting teams, who have worked tirelessly around the clock to execute on these initiatives. We have also experienced an incredible outpouring of support from our investors and again, we can’t thank you enough for having conviction in our business model and our management team and in the long-term potential of our company. Slide 8, outlines the improvement of our debt maturity profile and response to the crisis. Since the third quarter, we secured debt amortization deferrals of approximately $750 million, resulting in minimal debt service payments for the remainder of 2021. Turning to liquidity, Slide 9, provides our current illustrative liquidity profile. Our total liquidity as of year-end was approximately $3.2 billion, which includes the portion of customer deposit refunds that are included in accounts payable at quarter end. We have also estimated approximately $300 million for anticipated health and safety investments and other collateral obligations. While we anticipate variability in our health and safety investments as we work through the various requirements and continuously improve and refine our protocols, we wanted to earmark this investment in our illustrative liquidity profile. These factors combined result in a net liquidity on a pro forma basis of approximately $2.9 billion, enabling us to continue to navigate through this fluid environment and execute on our return to service plan. As for cash burn, our team continues to work day in and day out to further reduce expenses and conserve cash. Since the beginning of the pandemic, we have made significant progress in reducing our controllable cash burn rate with the low watermark representing a nearly 80% reduction in crews operating expenses versus normalized levels. For the fourth quarter, our average monthly cash burn rate was approximately $190 million. This included approximately $15 million per month due to additional expenses related to preparing vessels or potential return to service in early 2021, and included a limited increase and associated marketing events investments as Frank discussed earlier. As for the first quarter, we expect the average cash burn to temporarily remain elevated at approximately $190 million per month or approximately $170 million per month, excluding non-debt recurring – non-recurring debt modification costs as we ramped down our relaunch-related expenses and repatriate crew. Approximately $60 million of one-time cost we incurred in the quarter is a result of debt deferrals and covenant waivers and suspensions, which when combined with the newbuild payment extensions, have resulted in approximately $1 billion of additional liquidity over the next 12 months. Once the ramp down of relaunch-related expenses, including crew repatriation efforts are complete, we expect that the average cash burn rate to decrease and remain it reduce levels until return to service preparations resume. We will continue to take a thoughtful and disciplined approach to reintroducing costs as we resume voyages in order to conserve cash. While at the same time, balance the need to drive new cash bookings. Turning to Slide 10, we ended the fourth quarter with approximately $3.3 billion of cash and cash equivalents. Our cash balance in the fourth quarter increased driven by approximately $1.7 billion of net proceeds from capital raises and was partially offset by approximately $570 million of operating cash burn, which includes operating expenses, SG&A, interest and CapEx. Customer cash refunds for canceled voyages of approximately $120 million and net working capital and other outflows of approximately $20 million, which includes health and safety investments. Given the continued uncertainty around the timing of our voyage resumption, we are not yet prepared to provide guidance on all metrics. However, we have provided guidance on depreciation and amortization, interest expense and newbuild related capital expenditures to assist with modeling, which can be found in our earnings release and on Slide 19 of the presentation. Broadly speaking, excluding newbuild related capital expenditures, we still expect the minimum required capital expenditures needed to run the business and maintain our best-in-class fleets is generally a few hundred million dollars per year. Before handing the call back, I want to reemphasize that while we are prioritizing our immediate business needs, we are also very focused on the future of our company. Our medium and long-term financial recovery plan, which was provided on Slide 11 focuses on three critical components. First, rebuild and gradually returned to pre-COVID margin levels, while continuing to identify opportunities to further drive margin expansion. Second, maximize our cash generation. And third, focus on optimizing our balance sheet and charting a path to delever. With that, I’ll hand the call back over to Frank to provide closing commentary. Frank?
Frank Del Rio: Thank you, Mark. Before we wrap up our prepared remarks today, I’d like to provide an update on our global sustainability program, Sail and Sustain, which is on Slide 12. Despite the current public health challenges we face, our commitment to protect and preserve our oceans, the environment and the destinations we visit, while enhancing our culture of diversity, equity and inclusion of workforce remains at the very core of our everyday operations. So that in 2020, we launched unconscious bias, microaggression and diversity and inclusion training for our global workforce and have committed to expand our diverse hiring practices. We are also building upon our supplier diversity program, as part of our efforts to facilitate and encourage the growth of small and diverse businesses. We strive to maintain a supportive and empowering workforce – workplace for our team members across the globe. We believe our team members are by far our most important resource, and that has never been clear to me and during this crisis. We are pleased at this commitment to our team’s development and wellbeing was recognized recently with our naming to the Forbes America’s Best Employers list, in which we ranked among the top 75 companies in the overall large employer category and among the 10 top companies in the travel and leisure sector. Just as we support our team members, we are also committed to supporting our local communities and the destination we visit. This past year, we launched two initiatives in partnership with trust goods. Giving Tuesday, we matched every case of Just Water purchased in December through their online store with water donation to local food banks in Miami and New York City. Separately, we provided nearly $275,000 of in kind donations in the form of Just Water and non-perishable and canned goods to support two community organizations and assist ongoing relief efforts in the Archipelago of San Andrés in Colombia, after the devastating impact of Category 5 Hurricane Iota. Furthering our partnership with JUST Goods, we are also currently in the process of organizing several truckloads of Just water Donations to benefit food banks located in areas around the Southwest of the United States that have been severely affected by the recent winter storms. Dedication to family and community is ingrained in our culture and to further demonstrate this commitment beginning this year, we are offering our U.S. shoreside team members, a paid volunteer day to give back to community programs of your choice. On the environmental front, we are proud to have improved our score in our second CDP climate change submission to late B, which is higher than the marine transport sector, North America and global average. For 2021, we will be focused on enhancing our ESG disclosures to provide additional transparency. I look forward to sharing additional details with you as we continue on our ESG journey. Turning to Slide 13, I’d like to leave you with a few final key takeaways. First, we are focused on the execution of our roadmap to relaunch as quickly as possible. And we’ll continue to work with our expert advisors, global public health authorities and government agencies to refine our science back plans or a swift, safe and healthy return to cruising. Second, strong future demand for cruising across all brands, source markets and deployments continue. And early indications for 2022 bookings are extremely positive with load factors, besting our previous high by a substantial margin. Lastly, we continue to keep our longer term strategic and financial priorities in focus, and we will be ready to execute on our recovery plans to improve our balance sheet. Strong future demand we are experiencing coupled with the positive momentum in the public health front, both extremely well for our prospects. And with that, Josh, please let’s open the call for questions. Thank you.
Operator: Thank you, Mr. Del Rio.  Our first question comes from Brandt Montour with JPMorgan. You may proceed with your question.
Brandt Montour: Hey, everyone. Good morning, and thanks for taking my questions. I just wanted to maybe follow back up Frank, on your comments on Alaska. You sort of referenced the industry’s attempt to try and salvage some of the Alaskan season. I assume for the sailings that are leaving and arriving from Seattle, where I know you guys do much of your business. So I guess, maybe if you could just give us your view on the potential success of those talks and then just remind us the portion of your Alaska business that’s in and out of Seattle.
Frank Del Rio: It’s difficult to predict, what the outcome will be. We’re encouraged that the situation with Alaska and in the Canadian closure until spring of 2022 has been noted by various government officials. And they’re trying to do their best. As you know, tourism is the third largest industry in Alaska. And for certain Alaskan coastal communities, cruising is over 90% of their tourism business. And so if we can operate in Alaska in 2021, that’ll be two years that they will go without this infusion of business activity and that’s going to be difficult for them. And so we’re hopeful, cautiously optimistic, it’s a lot of hoops to jump through both from the Canadian side and also let’s face it the – we cannot operate as of today in U.S. waters and Alaska water. So we have suspended taking new bookings on Alaska. I think the whole industry has. But we do hope – we do hold out some hope that these initiatives led by the Alaskan delegation can open up Alaska for 2021.
Brandt Montour: Great. Thanks for that. And then I wanted to also ask about the relaunch efforts in the 1Q that you reversed. And I think that you made the announcement that you would repatriate some crew. I think that was as of late January, you made that announcement. And so I guess, with the latest murmurings out of the industry that you could get CDC guidance, maybe any day now. I just want to reconcile those two things and understand maybe your timeline and the decision process to send folks on.
Frank Del Rio: Yes. I think there – let’s clarify a couple of things. The CDC guidance that we as an industry are expecting sometime in the future and I won’t label it as a few days, because I simply don’t know. It could be a few days – could be a few weeks, we simply don’t know. That doesn’t – that is the next phase of this multi-phase of approach that the CDC has taking. I don’t believe that we are awaiting in the next few days, the green light to cruise, that would not be correct. But in terms of our decision to pull back, look, when the CDC conditional Sail Order first came out, there was great expectation. We had a conditional Sail Order. And it proved to be more difficult than we first expected. We also were in the middle of a spike in the number of cases. And so it became obvious to us that the initial expectation that maybe the industry could begin to cruise in the first quarter, which is heavily focused on Caribbean theater of operations, was not going to take place. And so we took the difficult decision to reduce our cash burn repatriate those crew members back home and cut down on the marketing expenses that we have begun to ramp up to along with the ships that we thought we could operate. And so today, I would tell you that we are in a better place, a more encouraging place. And we were even just six weeks ago, at the end of the day, I think the prevalence of the disease in our own country and around the world will be the greatest indicator of one we can resume cruising. And the prevalence is dropping. And we believe based on all the experts that we talked to, including the Healthy Sail Panel that we’re going to see a continuation of the significant drop in cases as we enter spring summer, as we continue to vaccinate over 1.5 million Americans a day, as more people get infected and recover. So all those things point into a direction where the prevalence should drop considerably giving us a better opportunity to restart operations.
Brandt Montour: Very helpful. Thanks for the comments.
Operator: Thank you. Our next question comes from Steve Wieczynski with Stifel. You may proceed with your question.
Steve Wieczynski: Hey, good money guys. Just Frank, to add on to that your last commentary there, if the CDC gave you guys kind of the all clear kind of smoke signal to get to that test phase component and to start up the test cruises. Is that still – would you still need about 90 days or could you shorten that up a little bit?
Frank Del Rio: We think that, it can be short and I know that there is a 60 day sort of waiting period, the conversations we’ve been having with them, it’s not a hard 60 days. I think it could be less. But how much less? I don’t know, we’ve not received that kind of specificity on these guidelines, but we generally believe that from the moment that we get the green light, depending on where the ships are that you want to stand up, depending on the seasonality, summer is a – where are the ships in summer, generally, they’re in Europe, they’re in Alaska. Where are they in the fall winter? They’re primarily in the Caribbean, Mexico, Panama Canal, around the world. But I think, for planning purposes, we’d like to give ourselves that 90-day window more or less. And so we’ve canceled cruises through the end of May. So if you count with your fingers, we basically March 1, so all of March, all of April, all of May. And it’s sequential. We keep bookings and cruising – cruises available as long as we believe, there is a chance that we can operate. Once we know, we start entering that 90-day or so window. And we always to everyone in the ecosystem, whether it’s travel agents, consumers, our own employees to crew to cancel cruises in the future. So we’re always hopeful that the public health situation improves and that we can restart as soon as we possibly can.
Steve Wieczynski: Okay. Got you. Thanks, Frank. And then second question would be around out your booking trends across your brands. And I know you indicated that booking trends seem pretty similar across all three brands, but I wanted to dig in a little bit more into your luxury brands, given the strong pent up demand we have seen from the 60 plus age demographic across other consumer verticals. And I guess, the question is, has that demographic been very active in terms of booking. And has there been any changes in their preference in terms of length of itinerary or destination? I hope that makes sense.
Frank Del Rio: It does make sense, Steve. Look, early in the pandemic, people were writing off the mature market. And it’s been anything about that. So as you know, the upscale brands tend to book further out than the contemporary brand, partly because of the itineraries, the longer more exotic itineraries, everything else being equal, people book further out. And so we’re continuing to see that. I mean, both Oceania and Regent are nearly 40% booked for 2022. That’s much better than they’ve ever been at this stage of the booking cycle. And so these are folks who are typically over the age of 65, the average age at Oceania and Regent is consistently in the 66, 67 age range. And these are the folks who are getting the vaccine first and they’ve been cooped up and they want to go out. I mean, they’re no different than 40-year olds or 30-year olds. They’ve got the money and they’re booking further and further out. As we said in our prepared remarks, the booking curve is now double, what normally is. And that’s because of two reasons. One, there are literally no bookings being made for the next three or four months sailing, because they’ve been canceled. And people are booking further and further out. People know that this pandemic will end someday. And that someday is tomorrow, but further up. So we have more visibility today in our future business than we’ve ever had. And so that’s one of the things that encourages me the most. I mean, I have a lot of things to worry about these days, Steve. Fundamental consumer demand and our ability to fill our ships at strong pricing is not one of them. And to be able to do what we’re doing in terms of the load factors and new bookings, new cash bookings with the de minimis amount of marketing that we’re doing with the travel agency system being less than 100% is truly remarkable. And again, points to what we’ve been saying for years, the resiliency of the consumer, the resiliency of those who love to cruise. It’s a great value that hasn’t changed. And people are eager to get back to the high seas. There’s no question about that.
Steve Wieczynski: Okay, great. Thanks for the color, Frank. Appreciate it.
Frank Del Rio: Thank you, Steve.
Operator: Thank you. Our next question comes from Robin Farley with UBS. You may proceed with your question.
Robin Farley: Okay, great. Thanks. Yes, just looking at some other cruise lines that are operating in Asia and have operated in Europe. I’m just curious, are the cruise lines sharing their learnings and protocols, particularly thinking of the cruise line that you’re on the Healthy Sail Panel with, whether you’re kind of getting the benefit of those starts in other regions. Thanks.
Frank Del Rio: Hi, Robin. Yes. Look, we don’t compete on safety and health issues. And the industry has been very, very cooperative with one another. We do share our findings, we find that those companies brands that are operating, whether it’s in Asia or in Europe are very much forthcoming, much like, Royal and us to develop the Healthy Sail Panel, that 74 protocols we made them available to the entire industry, the entire industry has adopted them. So it’s a very good and healthy dynamic.
Robin Farley: Great. Thanks. And then just a quick follow up, I think I can guess the answer to this, but you guys have not sold any ships and some other companies have. I know you have the youngest fleet out there. And so maybe the answer is that, you have no interest or need to sell any ships. Are you – is that something you’ve thought about at all or had conversations about.
Frank Del Rio: No, we – you pointed out, we do have the youngest fleet. Every one of our ships produce positive margins, positive EBITDA, a good ROI on their book value. So we have no interest. Only – being the smallest of the big three is an advantage I believe during this time. We only have to worry about 28 vessels and not some greater number. And also we’re very eager to start taking delivery of the vessels that we have on order which will begin in third quarter of 2022. We’ve been fortunate that during this pandemic, we didn’t have to take any new deliveries. But by the same token, we have zero interest in selling any of our assets.
Robin Farley: Okay, great. Thank you.
Frank Del Rio: Thank you.
Operator: Our next question comes from Vince Ciepiel with Cleveland Research. You may proceed with your question.
Vince Ciepiel: Great. Thanks for taking my question. I’m curious your perspective or updated thinking on the timeline to get the whole fleet back up in the sailing, assuming you have some success with trial sailings, and then begin revenue sailings on a few ships from that point about. How long do you think it would take to get the whole fleet up and running again?
Frank Del Rio: We don’t know when that start date is. As I said earlier, the – directionally, we’re heading in the right direction. The prevalence is decreasing. The vaccines are ramping up. We’re all confident of the protocols, enhanced by the vaccinations. What we have said in the past is that we think that from whatever date that – it is that we start, it will likely take six to seven months, assuming that the ports are opened around the world, remember our ships are seasonal. One of the requirements is that the ports be open to travel restrictions be lifted, so assuming that those hurdles are cleared. Physically, we think it’ll take six, seven months, so roughly a ship a week. And so for us to be a 100% operative, we would have to start standing up vessels in the June, July timeframe of this year. So that we can be 100% by year end early 2022.
Vince Ciepiel: Great. It sounds similar to how you were thinking about it last time. And then on the future cruise credits, last time you noted that I think 65%, 70% of those being canceled here recently, we’re opting for future cruise credits versus cash. I was just curious if that kind of ratio has held. And then also, I think as of last time you had about half of your FCCs still outstanding, which represents an interesting and good base of pent up demand and curious if that number still held as well.
Frank Del Rio: I’ll tell you that since I forgot the exact date, but since the fall, at least when we do cancel a set of sailings, like we recently did for the month of May of 22. Everyone gets a cash refund. We’re no longer offering the option of an FCC or cash. We have the liquidity FCCs are dilutive to future business. We don’t want to negatively impact future business any more than the dilutive effect of the existing FCCs. So today, there is no choice. You’ve got your money back. And in terms of the percentage of FCCs that have been redeemed. It varies by brand, but at deconsolidated age level, roughly 40% of all FCCs that we have issued over time have not been redeemed. So there still remains 60% of the FCCs issued in that bucket of folks, who’ve got an ability to rebook. And look, we – somehow, in some quarters of the investment world, perhaps, FCC bookings are seen as not as good as a cash booking. I think they’re both important. Customers who took an FCC showed a great deal of confidence and support in our business and we want to make sure that they get their crews. And so if we have to extend the booking date or if we have to extend the sailing date, as the suspensions continue, we will do so. We actively encourage people to redeem their FCC. We want them to take a cruise and we also want to be able to clear the deck, so to speak, as soon as possible. So that when we do resume cruising, we can get back to what we do best, which is selling cruises at the highest yields in the industry, both on ticket and onboard revenue so that we can resume our positive momentum that we had at the end of 2019.
Mark Kempa: And Vince, just to add on that, I think you had said, mentioned that it was a big book of business. You’re absolutely right. So as we think about that going forward, that gives us opportunities where we can really get more efficient and reduce some of our operating expenses, because our – simply speaking our acquisition costs, we’ll come down over time with that business. So as Frank said, the FCCs are a good booking, just like any other booking. And it’s a positive sign and having such a significant amount on our books.
Vince Ciepiel: Great. I think that makes a lot of sense. Thanks.
Operator: Thank you. Our next question comes from Jaime Katz with Morningstar. You may proceed with your question.
Jaime Katz: Hi, good morning. I’m hoping that you guys will help us think through the cash burn over the first half, I guess, there’s this inflated number for 1Q, but theoretically, if you’re going to start ramping in June. You’re going to see some of those costs to repeat as you bring people back to the ships and remand them again. So it’s 170 a month, a better number than some of the numbers maybe you’ve given out in the past for ongoing cash burn, as some of these ships come back online.
Mark Kempa: Hi, Jaime, it’s Mark. Yes, I’ll take that. So when we really reduced our cash burn in the third – and you look at the second quarter, third quarter, we were down to levels of 150, 160. It’s slightly elevated in the fourth quarter, primarily due to some – additional cash interest and some of our startup activities, which we noted. Some of that is lingering into Q1 as well with the startup activities. And then beyond that, in this environment today, our expectation would be that, we’re going to get back down to those levels we had seen in the earlier part of the year, absent the clear visibility and clear indication that we can start back up. So again, we started this exercise in the fourth quarter. We were hopeful with the conditional Sail Order that we were going to be able to operate early in 2021, obviously, that proved to be a false hope. But it’s really going to be dependent upon when we get that green light and when we get that visibility. But again, if you look at the fourth quarter and the first quarter as we’ve outlined, I think I said on my prepared remarks today, roughly of $15 million a month was related to some of those restart costs. That’s probably the levels you would start to see once we in earnest restart back, whether it’s a second quarter, third quarter, but again, based on when we get that clear path of resumption.
Jaime Katz: Okay. And then I think there was a comment in the slide deck that said 60% of the bookings were from loyalists, which would imply 40% were new cruisers. And I know you guys have talked a lot about some of the inroads you’ve made with millennials in the past. And so I’m curious if there has been any different demographic patterns you’ve seen across the fleet in the more recent bookers. Thanks.
Mark Kempa: I will tell you that the sweet spot is for folks 55 plus, historically, that is the cohort that the greatest percentage of our guests across all three brands comes from. And we have seen a slight increase in the proportion of total bookings coming from that cohort. And as I said earlier, that is partly because those are the cohorts that have been vaccinated more so than younger ones. These folks are retired, semi-retired, the stock market has been doing well, investments have been doing well. They’ve got cash. And these are people who tend to travel more and they haven’t been able to. So the pent up demand for them for this cohort, I think is greater than younger cohorts.
Jaime Katz: Thank you.
Mark Kempa: Thank you.
Operator: Thank you. Our next question comes from Stephen Grambling with Goldman Sachs. You may proceed with your question.
Stephen Grambling: Good morning. Thank you. I know there’s a lot of moving parts still, but within that six to seven months that you decided for launching the full fleet. How do you think about occupancy at the ship level within the current CDC framework? And how might the vaccine change that?
Frank Del Rio: Well, the CDC is a best of my knowledge has yet to give the industry target occupancy. For our own internal working purposes, we assume that at the beginning that maximum occupancy will be in the 50% range. So think about this, today our entire fleet is available for the book, let’s say, in the third quarter, in July moving forward. Every single ship in the fleet has passengers, there’s bookings on them. We’re going to start, we’re not going to be able to start all 28 vessels. As I said, it’s going to be a little bit, maybe a week, one a week, something like that, which means that there’s going to be a lot of customers who are booked today, who will be displaced. And part of that displacement will be in cancellations, people will get their refunds. But part of it is that people will move from the Norwegian Jewel in Alaska to the Norwegian Bliss in Alaska, or they’ll move from the Oceania Riviera in Europe to the Oceania Marina in Europe. And so we believe that there are enough bookings today, if we never took another booking, let’s say for Q3, assuming a reduced capacity at the start, we don’t have to take any more bookings for Q3. And as you move forward from the start date, you have more ships coming online, less ships that are going to be – those customers going to be displaced. And so there’ll be a rebalancing, if you will at some point, where we do need to start taking more bookings, but my guess is that that’ll be beginning month three, four forward. And that’s what we were doing. And the restart that Mark and I discussed earlier in our remarks, when we thought we were going to starting in Q1. Because there’s always a book of business there, waiting, hoping to cruise that when we do know we’re going to start that won’t be the entire fleet. And therefore we have excess bookings, if you will at the beginning. So again, of all the things we worry about filling vessels, generating demand just isn’t one of them. But we have – we don’t have a short-term issue as we just described. And as you heard me say earlier, 2022, more of a longer term business is better than ever.
Stephen Grambling: And I guess one of the other things that’s within your control, if you think about the operations and an expense structure, what are some of the things that you think could be structurally changed coming out of this that could ultimately make the shifts more profitable. And as a related follow-up, are there any considerations that we should have on dry dock days coming out of layup? Should that be lower or could it be higher? Thanks.
Frank Del Rio: I think, I’ll let Mark answer that.
Mark Kempa: Yes. I think, first Steve, on the dry docks, look, ships have to dry dock, they have to stay within the classification society rules. And what I can tell you is, while we have pulled back on our capital expenditures and some of that is related to investments that – enhancements that we would have made during dry docks, we are not stopping dry docks. Dry docks have to occur by class. And there are certain investments that we’ve continued to make. A good example of that is, some of the scrubbers on the breakaway and getaway. That was – they were scheduled to be completed in early 2023 and because the ships are out of service and going through their normal, dry dock periods, we’re able to install those sooner. And get the benefit once we restart operating. But I think when you look at the ships going forward, and you look at the cost structure on the ships. By and large, we’ve always said this, the cost structure on a ship is generally a highly fixed cost structure. That said there’s always going to be pockets of opportunity and I think, as we think about our costs going forward, we’re looking at shoreside. This pause has really given us a chance to reevaluate every cost, everything we do from our supply chain to everything we do on our shoreside operations.
Frank Del Rio: And I think we’ve mentioned this in the past that, we’re making some pretty significant learnings in our marketing area. We continue to transform toward the digital world, you get more bang for the dollar there. We’re garnering significant amount of booking activity with vis-à-vis a less marketing spend. So we’re taking those learnings. And every day that we’re in pause, we’re going to continue to look at every nook and cranny and ask ourselves, are we doing this correctly? So I think there’s opportunity for cost enhancement, and then further, as you look further down the future, and you think about that, how does that translate to margin expansion? It’s going to be a combination of reduced costs. We have more efficient capacity coming online with our nine ship new build program. And that’s going to help drive margin expansion. In addition to, again, driving the top line, driving increased pricing that we’ve always been the industry leader in pricing. And as we think about that, if you look at the industry capacity has been reduced. So we think that’s going to provide even more of an opportunity to help rebuild margins and drive that margin expansion.
Stephen Grambling: That’s super helpful. Thanks so much.
Frank Del Rio: Operator, we have time for one more question this morning.
Operator: Thank you. Our last question comes from Ivan Feinseth with Tigress Financial. You may proceed with your question.
Ivan Feinseth: Thank you for taking my question. It looks like there’s some really bright light at the end of this tunnel. And while there was concern in the beginning that the industry would have to heavily discount to get people back on the ship. It definitely seems not to be the case. Now, do you feel or there’s any indication that there’s even more shadow demand of people who are. There’s a lot of people on waiting lists to get vaccinated and once people are vaccinated and then more itineraries open up that you will even see more demand for trips.
Frank Del Rio: Good morning, Ivan. And thanks for the question. Look, the industry has been shut down at least one year that means 30 million that would have crews in that year having crews. And this is a finite capacity business. I can’t cruise with 150% occupancy. So there’s going to be a squeeze play here. That demand is going to exceed supply, especially, after the withdrawal of some 20 plus ships from the so-called North American fleet. So you got less supply, you’ve got pent up demand. You’ve got people with money in their pocket. I think this is just the making of a boom time for the cruise industry. And since we can’t expand, supply any faster than it’s coming online, pricing is what’s going to dictate the day. And we’re seeing it. I mean, it’s astonishing to me in the 25-plus years, I’ve been in this business. That given the – the fact that, travel agents are not at full strength, we’re spending a fraction of what we normally spend, the bad new cycle of lockdowns and pandemics and travel restrictions and quarantine that business is as robust as it is, not only in volume, but we’re able to tick up prices. So when we say that we just do a couple of connect the dots here, 40% of FCC have been redeemed. Those FCC had a 25% premium on them. That we are at a flat to slightly ahead of pricing of the all time high pricing, including the diluted effect of those 125% FCC and that we are so well booked into the future. I mean, I’ve never seen such a positive set of circumstance. We just need to get back to work. We need to get cruising, operating again. And we’re hopeful look, as much as it bothers me to see other sectors of the travel community open, I’m happy for them. Trust me, I’m happy for the casino operators and the airlines and the hotel operators and the resorts. I want to be happy for us as well. And I think our day should be approaching, should be approaching. I’ve been given the advances we’re making in the vaccine front, prevalence is coming down. The industry, the protocols we put in place, no other sector of the travel business or any other business has put forth as many comprehensive protocols to combat spread of the virus as we have. And we’re eager to get back work, and we’re happy to see it starting in Asia, starting in Europe. We’re going to see, I think more vessels starting in Europe soon. And so we’re encouraged by all those developments, but at the end of the day, we’ve got to get back to work soon and we’re ready. We’re all ready. Thank you.
Ivan Feinseth: And also, when the CD you, right now, you’re planning on 50% capacity, but working with your Healthy Sail Panel, do you feel once people are vaccinated and comfortable that ramping up capacity quickly, because in a cruise ship, you’re kind of interacting with a lot of people and whether you’re at 50% or even 75% capacity. That’s not going to be the determining factor. The factor is people just being vaccinated.
Frank Del Rio: That’s right.
Ivan Feinseth: And it is allowing you to get to a higher level of capacity faster.
Frank Del Rio: Look, I agree. I think we all knew that vaccinations were ultimately going to be the deciding factor. And the quicker we vaccinate where we get to the point of herd immunity, which by most accounts, that timeframe is in the July, August time. So sometime in summer, the experts believe that by the end of April, anyone who wants a vaccine, at least in the United States, even in Europe, Canada can – will have access to one that all bodes well. But look, one step at a time. We just have to start – we have to start, we have to build momentum, we have to demonstrate to government agencies, society as a whole, our guests, our crew into ourselves that we can de facto operate safely in a low prevalence environment, where crew and guests are vaccinated. And then this will pivot from being a pandemic to being an endemic. And that’s what we have today with the flute. This will be you listen to the experts. That’s what they say that this pandemic will pivot to being a seasonal event. And it won’t be the scary thing that it is today.
Ivan Feinseth: Very good. Thank you. And good luck.
Frank Del Rio: Thank you, Ivan.
Mark Kempa: Thank you, Ivan.
Operator:
Frank Del Rio: And thank you everyone. We truly appreciate your calling today, your questions, your continued support for our great industry and our great company. And I look forward to speaking to you coming May. Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.